Mark Norwell: Good morning, everyone, and thank you for joining the Perenti FY '26 First Half Results Call. My name is Mark Norwell. And presenting alongside me today is Mike Ellis, our CFO. Today, we'll take you through our first half performance and outlook for the remainder of FY '26. Overall, Perenti has delivered as per expectations and remains well-positioned to continue delivering strong earnings and cash flow for the year. Starting on Slide 3, our diversified portfolio. For those who haven't been following Perenti closely, we are a diversified global mining services group with leading positions in contract mining, drilling services and mining and technology services. For example, our underground mining business, Barminco, is a top 2 global underground hard rock mining contractor. And our drilling division, comprising 5 specialist brands, is a top 3 global drilling business. We believe that a sustainable business is one that consistently delivers for its people, its clients, the communities in which it operates and ultimately delivers enduring value for shareholders. To achieve this purpose, we have built a diverse company with 13 brands operating across 12 countries. Approximately 2/3 of our revenue is generated from underground mines, and currently, our work in hand is strongly weighted to gold projects. Our diversified portfolio, scale and market share creates a resilient business that can deliver consistent performance through market cycles. Turning to the first half financial results on Slide 4. The first half of FY '26 reflects consistent delivery as we continue to evolve our portfolio and strengthen our balance sheet. Revenue was similar to the first half of FY '25 and EBITDA slightly lower, following the conclusion of the Botswana underground project at the end of FY '25. As communicated in our FY '25 results, we successfully sold the fleet in Botswana, delivering a decrease in depreciation, supporting a new half EBITA record of $160 million. EBITA margin improved to 9.3% compared to 9.0% in the first half of '25, demonstrating the improving quality of earnings. Underlying NPATA increased 12.4% compared to the first half of '25 supported by lower net finance costs and improved operating performance. Underlying EPS increased to $0.098 per share, also up 12% from the corresponding period. Normalized free cash flow of $33 million, adjusted for delayed debtor receipts collected in January, also improved on the first half last year. Net leverage reduced to 0.6x compared to 0.9x 12 months earlier. And our gross debt reduced to the lowest point since the acquisition of Barminco in 2018, following the repayment of the remaining 2025 senior unsecured notes in July 2025. As a result, the Board has declared an interim dividend of $0.0325 per share, an 8% increase on the $0.03 dividend in the first half of 2025. On to Slide 5. And as always, the safety of our people remains our first priority. The continuous learning approach that we have adopted requires us to constantly seek ways to improve our safety systems, and ultimately, performance. During the half, we continued to invest in frontline safety leadership and strengthened our company-wide safety leadership framework, which includes clear expectations for what safe work looks like. Divisional critical risk frameworks and verification tools have been updated, and we continue to focus on creating a safe and respectful workplace. We also implemented practical safety enhancements across the business, including in-vehicle monitoring systems, improved operator visibility, upgraded gas monitoring and smart camera exclusion zones and standardized controls for working at height across the drilling fleet. While we continue to make positive progress as a business and as an industry, we need to maintain an unwavering focus on improvement to keep our people safe. Moving to Slide 6, group performance. As mentioned earlier, EBITA increased 3% to a new first half record of $160 million, despite the strength in the Australian dollar at the end of the half, which has continued into the start of the second half. Our EBITA margin improved to 9.3%, driven predominantly by the transition away from the underperforming underground contract in Botswana. As we've outlined previously and as demonstrated in the half-on-half comparisons, earnings and cash flow are weighted to the second half of the year. Contract mining will benefit from several contractual elements flowing through in the second half, and drilling services continues to see demand increasing with margin growth expected in the second half. Turning to our divisions, starting on Slide 7. Contract mining contributed around 70% of group revenue and 74% of underlying EBITA before corporate costs. The significant transition in revenue mix continues in line with our strategy with new and existing projects substituting for projects that have concluded in Burkina Faso and Senegal. As mentioned, the conclusion of the underground contract in Botswana has helped to improve first half EBITA margin to 11.1%. Work in hand remains strong in projects such as Great Fingall in Australia, Goldrush in the U.S.A. and Mana in Africa ramping up. The award of the Dalgaranga contract in July 2025 will also have a greater contribution in the second half. As outlined on Slide 8, Drilling Services delivered revenue of $422 million, up 9% on the first half of '25 with utilization continuing to improve across the division. With drilling demand remaining strong, particularly in gold and copper projects, the division is positioned to benefit from margin expansion as market capacity tightens. Swick, in particular, has seen strong demand, recently winning and mobilizing 3 new projects in North America. The multiple mobilizations temporarily impacted margins during the half. However, margins are expected to improve in the second half and into FY '27 as the new projects move to steady state and the benefit of improving market conditions are realized. On to Slide 9. Mining and technology services has delivered improved performance compared to the first half of '25. The BTP rental fleet saw higher utilization with idle fleet returning to work, although still below historical levels. BTP parts continue to deliver below expectations, presenting an opportunity for improvement in the second half. idoba continued to focus on its underground simulation tool with costs reducing as planned with further reductions forecast in the second half of '26. Overall, our first half results met expectations with our balance sheet continuing to strengthen. I'll now hand to Mike, who will provide more detail on our financial results.
Michael Ellis: Thanks, Mark, and good morning to those on the call. Thank you for joining us today. I'll now step through the financials in more detail, starting at Slide 10 at the underlying profit and loss for the half. Our revenue has stayed consistent on the prior corresponding period at $1.73 billion for the half. As you're aware, the underground project in Botswana, which was our largest by revenue contribution in the prior half, at circa $120 million, completed at the end of FY '25. The collective team has done a great job to offset this during the first half of FY '26, driven by new work and scope increases in contract mining at the Great Fingall, Dalgaranga, Goldrush and Mana projects, together with increased revenue within our Drilling Services brands due to improved utilization. Our depreciation has reduced from $168 million in the first half of FY '25 to $157 million or 9% of revenue this recent half. The primary driver was the transitioning portfolio in contract mining. 2 main points on this, selling the large underground fleet to the client in Botswana, which had significant depreciation in the prior corresponding period. Secondly, we had the conclusion of 2 surface mining contracts, Sanbrado and Mako that had higher depreciation compared to underground and drilling projects on a like-for-like basis. Looking forward, all things equal, group depreciation will normalize at low to mid-9%. On to earnings. The EBITA result of $160 million with EBITA margin improvement to 9.3% was a strong result for our first half. It was underpinned by improved performance in contract mining, driven by the portfolio mix and operational delivery, consistent delivery from drilling services and a stronger result from mining and technology services compared to the first half of '25. Interest expense was $28 million for the half, substantially down 20% compared to the first half of FY '25. This was due to the early repayment of the 2025 senior unsecured notes, further lowering our gross debt, providing us balance sheet capacity, but also ongoing earnings per share improvements. Income tax increased marginally by 6% with increased earnings this half, representing an effective tax rate of 30.2% in the half. It should be noted that our effective tax rate for FY '26 is still expected to be 32% for the full year. Our underlying NPATA of $92 million is up 12% with an improved NPATA margin of 5.3%. Lastly and importantly, our underlying earnings per share increased 12% on the prior corresponding period, a great result for the half, driven by the EBIT margin improvements and reduced interest costs. On to Slide 11, the reconciliation of our statutory results to the underlying results. Although pretty straightforward this half, I will provide some further color. Amortization of the customer-related intangibles was $19.6 million during the first half, but is expected to reduce significantly in the second half due to the completion of the Yaramoko underground contract in Burkina Faso in December. This contract formed part of the original Barminco acquisition accounting in 2018. Looking forward, the amortization of customer-related intangibles will be circa $30 million for the full year FY '26 and will further reduce to circa $14 million in FY '27. idoba development costs of $4.7 million were down 30% on the first half of FY '25 following last year's review. They will further reduce in the second half to circa $4 million as the development spend for our simulation product reduces in line with the development milestones. In FY '27, we will account for the development costs in our underlying earnings as the product moves into commercialization and development expenditure is further reduced. Net foreign exchange losses amounted to $4 million and predominantly related to non-cash movements of intercompany loans and tax balances, noting that the first half of FY '25 was an FX gain of $5.3 million. Turning to the cash flow on Slide 12. Operating cash flow before interest and tax was $193 million, lower than the prior period, predominantly due to the timing of debtor receipts and creditor payments upon the completion of various projects in the half. We received $50.3 million of overdue debtor receipts in January, impacting reported free cash flow at period end. As noted in prior calls, our cash conversion at the first half is generally impacted by short delays in client receipts and other temporary working capital movements. This has no impact to our overall liquidity profile. After adjusting for these late receipts, normalized free cash flow was $33.1 million, up 8% on the first half on a like-for-like basis and represented cash conversion of 77%. As flagged in our FY '26 guidance, our free cash flow will be second half weighted in FY '26, which is consistent with the last 3 years of solid free cash flow delivery in the second half of the year. We are confident on delivering cash flow conversion in line with historical averages of greater than 95% for the year. Net interest reduced in line with gross debt reductions and cash tax was down during the period due to the timing of tax payments. Our gross capital expenditure remained in line with the first half of FY '25 at $170.7 million with continued investment into our fleet. We also realized $21.4 million from the sale of assets and investments. This predominantly related to the sale of assets to clients that completed projects, including Yaramoko, Sanbrado and the Mako project. Lastly, you will notice the cash outflow of $135.4 million to repayments of debt as a result of the gross debt reductions previously mentioned. That is a good segue to Slide 13, the balance sheet. As a result of the debt repayments, our cash balances reduced during the half to $275 million and back to normal operating levels, noting that it was elevated at 30 June, 2025 due to the sale of assets at the completed underground project in Botswana, which was received in late June '25. Liquidity remains very strong at $818 million, supported by $543 million of undrawn committed facilities and $275 million of cash, providing significant optionality to pursue growth opportunities that meet our hurdle rates and deliver into the execution of our strategy. During the half, we successfully completed a heavily oversubscribed refinancing of the syndicated debt facility, increasing the facility capacity to $650 million on improved pricing and extending maturities. As part of the process, we also welcomed several new domestic and international lenders to the facility, highlighting the positive support from the debt markets for the scale and the consistency that has been built over the years. The balance sheet remains very strong and robust, offering good flexibility and our disciplined approach to balance sheet management positions Perenti to continue to pursue both organic and inorganic growth into the future. On to Slide 14. Disciplined capital allocation remains our key focus to generate sustainable long-term returns for our shareholders. Since FY '19, we have invested to grow revenue and EBITA, both organically and inorganically, resulting in strong sustainable free cash flow over the past three years. This has enabled us to reduce net debt and leverage from 1.3x in FY '21 to a very comfortable 0.6x at reporting date. With debt well managed, we resumed dividends in FY '24. And during periods of undervalued share price, we have bought back shares, increasing EPS. This balanced approach will continue supporting growth opportunities that meet our investment criteria, consistent sustainable free cash flow generation, regular dividends, share buybacks when suitable and maintaining a robust balance sheet. In closing, earnings remained strong in the first half of FY '26 in a transitional year for contract mining, highlighting the scale that has been built in Perenti over the years. Our balance sheet continues to strengthen with significant available liquidity, creating capacity to continue to execute on our strategy. Thank you. I will now hand back to Mark.
Mark Norwell: Thank you, Mike. As detailed on Slide 15, the outlook remains bright for Perenti. Secured work in hand at 31 December, 2025 was $5.8 billion, reflecting a normal drawdown of work executed during the half and partial replacement through some new and expanded projects. The pipeline remains strong at $18.6 billion with North America representing a growing component of that pipeline. This month, Barminco received a letter of intent from Barrick for its Fourmile project in Nevada U.S.A. to undertake limited early work readiness activities. The letter of intent reflects Barrick's continued confidence in Barminco's technical capability and underground development expertise and represents an important step toward progressing the Fourmile project. We'll continue to work together with Barrick toward finalizing scope and contractual arrangements with earnings anticipated to commence mid-FY '27 post formal award in the coming months. This is excellent news and demonstrates ongoing execution of our strategy to grow in North America. With the neighboring Goldrush project also ramping up and the Red Chris mine in Canada currently in the process of finalizing mine expansion plans, North America work in hand could be significantly larger in a short period of time. Overall, the sheer number of opportunities provides confidence in the outlook beyond FY '26, although we will remain disciplined, patient and focused to ensure projects we secure support sustainable delivery of TSR rather than just short-term revenue growth. Building on Slide 14, where Mike outlined our significant earnings growth and net leverage reduction as a result of consistent cash generation, Slide 16 illustrates how we have also evolved our portfolio since 2019. Firstly, the revenue of the business has more than doubled. All divisions have grown while also increasing regional diversification. The Australian portion of revenue has overtaken Africa as the largest contributor to the business, and the growth in the North American market is now gaining momentum for both Barminco and Swick. In 2019, Perenti had no projects in North America. Now we have 8 projects underway today with an ever-increasing pipeline and positive outlook. A glimpse of the future for Perenti can be seen in the relative makeup of the pipeline. In FY '19, the opportunities were predominantly in Africa with the remainder in Australia. Now the opportunities are dominated by Australia first and North America second with new opportunities starting to emerge in the Middle East. Africa will remain a strong region for Perenti, but as always, projects must meet our risk and return hurdles. Overall, we have significant organic growth opportunities across our operating regions and services. Slide 17, outlook and revised FY '26 guidance. The portfolio continues to deliver strong and reliable free cash flow, supported by the scale of the group and the improving quality of earnings. The recent strengthening of the Australian dollar has tempered expectations for the top end of our revenue and EBITA guidance. Conversely, we have increased our free cash flow guidance to greater than $170 million with capital expenditure guidance reduced to $325 million. To achieve these targets, earnings and cash flow will be weighted to the second half of the year, consistent with the performance of FY '25 and prior years. EBITA growth in the second half is anticipated to be bridged in a similar fashion to FY '25. A $10 million to $15 million step-up in contract mining is expected, $5 million to $10 million from Drilling Services and the balance from Mining and Technology Services. In addition, we will continue to see the benefit of our gross debt reduction in the second half in the form of reduced interest payments. To deliver our full year guidance, the priority remains the focus on the safe delivery of services, continued investment in the development and capability of our people and supportive market conditions. Additional focus will remain on winning and extending projects that deliver sustainable value-accretive growth. Revenue growth alone is not the objective. Projects must be secured on terms that support profitability and free cash flow for the long-term success of our business. With several projects ramping up, particularly in Australia and North America, discipline and consistent operational execution will be critical. Activity in the exploration drilling market continues to build, consistent with the early stages of a longer term trend. Consequently, drilling utilization is expected to lift during the remainder of FY '26 and into FY '27. Finally, by maintaining a disciplined and balanced approach to capital allocation to organic and inorganic growth opportunities, Perenti is well positioned to continue delivery of enduring value to our people, clients, communities and shareholders. On to Slide 18. In summary, Perenti has delivered a consistent first half with a new record first half EBITA, EPS growth of 12% and strengthened the balance sheet, positioning the group well for the remainder of FY '26 and beyond. As announced at our AGM last year, this will be my final year with Perenti. While the Board is well progressed in the search for a new MD and CEO, my focus remains on supporting our people to safely deliver FY '26 and in time supporting the Board and the new MD and CEO to transition to new leadership. Details of the transition will be shared when the new MD and CEO is announced. In the meantime, it is business as usual. Thank you all for your time today, and we'll now move to Q&A.
Operator: [Operator Instructions] And today's first question will come from Sumeet Ozarde with Citigroup Global Markets.
Sumeet Ozarde: The first one, just could you talk about some of the contract mining opportunities, new and renewals that we should be thinking about in the next 12 to 18 months?
Mark Norwell: Yes. Thanks, Sumeet. Audio is a bit challenged, but I think you're asking me about contract mining, pipeline. So I guess, firstly, I'd say that the pipeline is significant and certainly very strongly weighted to North America and also Australia and still some very good opportunities in Africa. So the outlook is extremely positive. We know that the [Technical Difficulty]
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect. [Technical Difficulty] Pardon me, this is the operator. We would like to resume the question and answer session. [Operator Instructions]
Mark Norwell: Well, it's Mark Norwell. I might pick up on Sumeet's question that I was midway through answering. Firstly, apologies for the technical challenges that we've been experiencing this morning. So hopefully. we've still got a few folk on the line. Sumeet's question was regarding the outlook for contract mining, and I'm not sure when it dropped off, so I may repeat some items that we already covered off. Certainly the pipeline is extremely strong in terms of the outlook. The thematics of underground mining, very strong, and obviously, commodity price is very strong as well. In the near term and as announced in our results to date, we are working with Barrick for their Fourmile project in Nevada. We've had a limited notice to proceed for early works there. Expectation for that to come online in FY '27. So we're very excited about the Fourmile opportunity. I visited Nevada a couple of weeks ago and visited the Goldrush project for Nevada Gold Mines. We see some potential expansion there. So really the Nevada region looking strong. Red Chris project with Newmont up in British Columbia. We've been there for several years. Newmont are working through expansion plans currently. And subject to that continuing and getting approval from Newmont, we're well positioned to hopefully secure more work there. We're also in discussions with another client in North America that we're sort of hopeful of for an outcome into FY '27. So very strong there. In Australia, we got a couple of active tenders at the moment for Barminco that we're working through and we still have a number of projects in the pipeline for Africa as well. And finally, with a number of existing clients we've worked with for many, many years, supporting them on expansion plans as well. So in summary, a very strong outlook for contract mining and also a strong outlook for drilling services into FY'27.
Operator: [Operator Instructions] There are no questions at this time. I'll now hand back for any closing remarks.
Mark Norwell: All right. So maybe due to the technical difficulties, got off easy today. But look, thanks for people bearing with us with the technical challenges, but importantly, thank you for joining the call. Look, we delivered a strong result with our earnings continuing to improve. We are well positioned to deliver another full strong year ahead and we do have a very good line of sight to opportunities across our divisions into the back half of '26 and into '27, particularly with North America. We're getting some really good momentum into North America at the moment. And our collective earnings between North America and Australia have really shifted over the last several years as we've been growing the business and obviously improving the balance sheet. So not only does the outlook look positive, but we also have the strong balance sheet in place to be able to support significant growth in the future. We will maintain discipline with that growth obviously and look for the long term, not just sort of one year, it's sort of many years ahead. So thanks for taking the time to join the call. Enjoy the remainder of your day. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.